Operator: Good afternoon. My name is Stephanie, and I will be your conference operator today. At this time, I would like to welcome everyone to The Hain Celestial Fourth Quarter Fiscal Year 2013 Earnings Conference Call. [Operator Instructions] Thank you. I would now like to turn the conference over to Mary Anthes. Please go ahead.
Mary Celeste Anthes: Thank you, Stephanie. Good afternoon, and thank you, all, for joining us today. Welcome to the review of our fourth quarter and fiscal year 2013 results. We have several members of our management team here today to discuss the results: Irwin Simon, our Founder, President and Chief Executive Officer; Ira Lamel, Executive Vice President and Chief Financial Officer; and Rob Burnett, Chief Financial Officer (sic) [Chief Executive Officer], Hain Daniels. Unfortunately, John Carroll, Executive Vice President and CEO of Hain Celestial U.S. is ill today and unavailable to join us. But in his absence, Maureen Putman, Chief Marketing Officer, Grocery and Snacks; Jim Meiers, President, Hain Celestial Personal Care and Chief Supply Chain Officer, Grocery, Snacks and Personal Care, will discuss the results of Hain Celestial U.S. Our discussion today will include forward-looking statements, which are current as of today's date. We do not undertake any obligation to update forward-looking statements, either as a result of new information, future events or otherwise. Our actual results may differ materially from those projected and some of the factors which may cause results to differ are listed in our publicly filed documents, including our 2012 Form 10-K filed with the SEC. This conference call is being webcast and an archive of the webcast will be available on our website at www.hain.com under Investor Relations. [Operator Instructions] Now let me turn the call over to Irwin Simon, our Founder, President and Chief Executive Officer. Irwin?
Irwin David Simon: Thank you, Mary, and good afternoon and thank you for joining us today on this beautiful sunny day. Hopefully, you had a chance to review 2 press releases that we issued this afternoon after the market closed. I will begin with a brief overview of our fourth quarter and fiscal year 2013 results, as well as an update on our strategic initiatives. We continue to benefit from positive trends across the organic and natural food and personal care industry. We're very pleased with our record fourth quarter and fiscal year 2013 financial results, and these trends continue to perform. Our momentum throughout the year helped us wrap up a strong fourth quarter, our largest sales quarter in the company's history, with $463.5 million of sales -- of net sales, up 32.1%, the 10th consecutive quarter of double-digit adjusted EPS growth. Well, thanks to John and his team, Hain Celestial U.S. sales were up a record 17.6% to $285.2 million. Hain Daniels also generated record results, with net sales of $121 million. Now I'll briefly discuss the key drivers that led us to our impressive sales performance. Our organic growth from our brands was up high single digits x currency. The fourth quarter was driven by new distribution, new products and consumer demand. Our consumption, measured by Nielsen, in the U.S. was strong, up 7.7% in the latest 4-week period and up 24% on a 2-year stack basis. Natural and organic products are helping to drive growth in AOC. The total channel grew 1.6% in the latest 4 weeks, with natural organic products outpacing the growth at nearly 5x what conventional products are growing at and that conventional products are growing at 1.1%. In the U.K., we continue to execute on our strategy to drive higher margin-branded growth, the integration of our grocery brands and the elimination of certain nonprofitable private label and branded products that we've discussed earlier. I'm pleased to report that Rob and his team in the U.K. did a great job in the quarter to end the year in a strong operational position. We've done a lot to integrate our grocery business and worked hard to pick up a lot of new business opportunities in the U.K. Hartley's, Robertson's, Sun-Pat and Gale's have now been part of our portfolio for 8 months. There is a lot of positive momentum around these brands, which Rob will take you through very shortly. The U.K. has become our second-largest business, where we now have 10 brands that are #1 or #2 in their respective categories, brands with a tremendous amount of brand equity. Walk a store with me in the U.K. today and see the number of products that we have at retail in these stores. In addition, we're expanding some of our U.S. brands like Rice Dream, Celestial Seasonings, Greek Gods, introducing gluten-free products along like brands like Terra and Garden of Eatin' to capitalize on the infrastructure that we now have in the U.K. We now have the #1 organic baby food in pouches in the U.K. Stay tuned for a lot of new products -- new fresh products that will be -- that we will be introducing soon. Importantly, in the U.K., we have regained a soup listing of New Covent Garden at Tesco beginning in October 2013. And together with Tesco, we've agreed on a business plan to grow our soup category in the retailer. The Rest of the World segment also contribute to our growth. Beena and our team had a lot -- has done a lot in Canada with mid single-digit growth. We have tremendous opportunities with one of our largest customers up -- our largest customer, Loblaws, that is now buying Shoppers Drug Mart. And Sobeys is consolidating Safeway along with Target entering the market. There's a lot we'll do in the Canadian market. Europe was up mid-single digits, with good growth coming from our Lima brand, our nondairy brand Rice Dream and Natumi. We're in the midst of consolidating our business in Europe, creating 2 sales teams, similar to what we've done in the U.S., which will be headed by Bart Dobbelaere. One sales force will focus on our natural food category, the other will focus on our grocery. The sales force will sell all our major brands throughout Europe. Our Hain Pure Protein joint venture increased net sales 17% versus the fourth quarter last year, as consumers are looking for more organic and antibiotic-free protein as they look to reduce their red meat intake. They concluded a profitable year on our protein business in the face of high feed costs. Overall, our brand performance in the quarter was strong. We have numerous $100 million brands and $50 million brands that are positioned to double in size. Our record sales increased combined with an improvement in gross margin and tight management of our SG&A, which enabled us to report adjusted earnings per share of $0.65 versus $0.47 in the fourth quarter last year. Touching on those specifics, gross margin adjusted 27%, up 40 basis points. We managed our SG&A to a low 16.3% in net sales, which shows you how we've integrated acquisitions and taken out costs, as we've said all along. Operating income adjusted $49.7 million or up 10.7%, up 40 basis points. Adjusted EBITDA of $63 million or 37% increased over last year in the fourth quarter. Keep in mind, we accomplished these results despite facing commodity headwinds and, boy, have they been a lot, and having not yet fully integrated our recent acquisition of Ella's Kitchen. So we believe we should see an improvement in the consensus in fiscal 2014 as we further integrate these businesses. Now let me discuss our fiscal year 2013 consolidated performance in a little more detail. We generated $1.7 billion in net sales, the highest in the company's history and a 26% increase versus the prior year. For the first time, we've exceeded over $1 billion in net sales in Hain U.S.A. Adjusted earnings per diluted share increased 35% to $2.53 versus $1.88 last year, and adjusted EBITDA reached a new high of $236 million for the year. We completed 3 exciting acquisitions since last year, our U.K. grocery brands BluePrint and Ella's Kitchen. As I said before, I'm very excited about BluePrint, a nationally recognized leader in the cold-pressed juice category and one of the first brands in the juicing category. This is a hot category where we can gain tremendous distribution. The founders, Zoë and Erica, continue to drive innovation, while Jim drives operation and distribution. Jim DePietro, not Jim Meiers. He drives distribution, too. I'm also excited about Ella's Kitchen, where we've created a global infant, toddler and kids division headed by Paul Lindley, who is on the call with us today. We see global expansion opportunities for these brands. As I said before, I am thrilled we acquired this brand, and it's exciting what we can do around the world in this category. It seems also a lot of other companies followed us in this category after we bought Ella's. As I mentioned, we're still in early stages integrating these businesses, realizing the expected synergies, savings accretion and future growth. So we believe there's tremendous opportunities just with the acquisitions that we've done this year. And there's still plenty of acquisition opportunities that we will continue to look at. Our balance sheet continues to be strong and provide us with financial flexibility to pursue strategic opportunities as they present themselves. Over the course of the year, you've heard us talk about productivity savings. We've generated in excess $30 million for fiscal 2013, and Jim Meiers will talk more about these initiatives in a few minutes. Looking ahead, we've given Jim and the team another task: we're looking for $40 million to $50 million in productivity savings in fiscal '14. We've had the worldwide productivity team in New York a few weeks ago. And number one was how can we look at savings from procuring, but the other thing is more important, how are we out there sourcing organic fruits and vegetables around the world to keep up with supply and demand? One of the biggest challenges in this industry today is supply, and that will separate us from our competitors. We have a great global supply team and our procurement team will allow us to go out there and source on a global basis with wider access to new markets so we do not suffer from out of stocks and have the opportunity to procure other fruits and vegetables around the world. As I've said on previous calls, we've invested in our infrastructure and we'll continue to do that. In fiscal 2013, we built 2 new plants. We retrofitted 3 plants in the U.S., in U.K. and Europe and built a new headquarters where we have plenty of room to consolidate and move in many back offices. We'll continue to invest to support our growth organic and natural products and have plenty of capacity to support our brands around the world. We continue to be optimistic about the organic and natural industry trends. When you look at the entire food industry, our organic and natural products outpace conventional products by 3x. Overall, food consumption is not growing. Consumers are seeking out more and more organic and natural products versus conventional products. Organic and natural is growing. It's a major part of growth within the food and personal care industry today. You see this growth in companies like Whole Foods, Sprouts Farmers Market, Fairway continue to add new stores with natural organic product offerings. Organic and natural products are also growing with mass, specialty and Internet retailers. We believe these trends, combined with the consistent strength of our core Hain U.S. businesses as well as our prospects in Canada, U.K. and Europe and Asia, support our outlook for future long-term growth. Before I turn the call over to Maureen Putman and Jim Meiers to discuss Hain U.S.A., I want to take a moment from all of us at Hain to thank Ira Lamel for his numerous contributions to the growth of our business over the last 12 years, including his financial acumen and sound judgment, and there are some times I didn't always agree with that. But there was always sound judgment. I'm pleased that Ira will continue to work with us as a special advisor on various business development opportunities. It will not be the same at Hain with Ira not around. We've announced Ira's planned retirement last September, and after an extensive global search, we welcome Stephen Smith as EVP and CFO. Stephen brings more than 30 years of financial leadership to the company, having most recently been EVP and CFO of Elizabeth Arden since 2001, a NASDAQ-listed company. Steve has an extensive background in working with consumer products companies on a global basis, brings a demonstrated ability to implement business analytics for high performance strategic growth. Steve is the right fit with our management team to help us achieve our next level of growth. We will continue to add strategic talent to support our growth initiatives and innovations long term. And with that overview, I will now turn the call over to Maureen and Jim, and then Rob will provide you with highlights on Hain Daniels activities. And Ira then, for his final time, it's almost like Johnny Carson in The Tonight Show, will take you through our financial metrics guidance before we'll take questions, and then I will provide you with brief closing remarks. Maureen?
Maureen M. Putman: Thank you, Irwin. Hello, everyone. I'm going to talk about Hain Celestial U.S. Q4 was another very strong quarter for Hain Celestial U.S. and a great finish to FY '13. Key highlights of the quarter include Q4 net sales of $285.2 million, up 17.6% versus year ago, with base business growth in the high single digits. Our latest 12-week Nielsen AOC consumption growth was up 6.7%, which is 4x higher than total AOC channel growth. During this period, our growth was achieved even as we lapped double-digit Q4 year-ago growth of 15.5%, resulting in a 2-year stack consumption growth of over 24%. These results were driven by gains across the portfolio, including 16 brands that had double or high single-digit increases. Also in Q4, our gross profit margin was up over 168 bps as we were able to offset $7 million in inflation with improved mix, productivity savings, pricing and trade efficiency. And our Q4 U.S. operating income was $42 million, up 14.4% versus year ago. Now as we turn to full year FY '13 performance, we see our Q4 results top off another strong year for Hain Celestial U.S. Our U.S. business model, strong portfolio of brands and focused strategy enabled us to deliver FY '13 top line sales of over $1 billion, I have to pause at that, up 11% versus year ago driven by accelerated consumption growth, and operating income of $177 million or 16.2% of sales. This is up 18% and 108 bps versus year ago, respectively, and it's driven by strong top line growth and gross margin expansion. The U.S. business model continues to deliver against 4 key financial objectives, and I know, John, you're listening: first, mid to high-single-digit top line growth; second, margin improvement of 50 to 100 bps; third, double-digit operating income growth; and fourth, increased operating cash efficiency. And as we look to FY '14, we continue to be optimistic about the U.S. business. Yes, we have tough comps to beat and some commodity headwinds, but we're well prepared with a full line of innovation: a proven productivity process, plenty of distribution whitespace with only 1/3 of distribution points in AOC and we're just in the third inning of the game. So with that, I'd like to turn it over to my teammate, Jim Meiers.
James R. Meiers: Thank you, Maureen. We continue to see strong momentum across the business, and we believe it's sustainable based on 5 key factors. The first factor is our continued U.S. consumption momentum. Q4 was our 14th consecutive quarter of strong consumption growth. Importantly, our Q4 year-ago comp was a double-digit 15.5% growth quarter, and we still drove strong consumption gains. We feel confident our strong consumption will continue given our second factor, which is our AOC distribution growth. Q4 AOC distribution was, again, up over 4% versus a year ago. This continued the acceleration of our distribution growth versus Q3 as we fill in the distribution whitespace that you hear us talk about, at key customers and on key brands. Our top 13 brands accounting for over 80% of our AOC sales saw distribution increases of 9% on consumption growth of 11%. Brands experiencing strong distribution gains included Earth's Best, Imagine Soup, Dream nondairy beverage, Greek Gods, Sensible Portions, Celestial Seasonings, Alba Botanica, Spectrum, MaraNatha and Ella's Kitchen. Our third factor behind our optimism is our strong innovation results. Our year-to-date product sales are up 36% versus a year ago. We're seeing strong innovation results across all of our businesses, highlighted by exciting new products such as: Spectrum non-aerosol sprays for cooking, baking and grilling; Dream nondairy lattes made from almond milk and fair trade coffee; MaraNatha coconut almond butter made with whole coconut pulp; Garden of Eatin' cheesy tortilla chips; Alba Botanica Good & Clean and Hawaiian Deep Conditioning Minute Mask; Earth's Best organic shelf-stable mini meals; Earth's Best organic veggie and protein pouches; and the expansion of our very successful frozen line with Earth's Best barbecued chicken nuggets. This year, we launched over 150 new products, and we're confident these introductions will continue our strong momentum in this area. The fourth reason we're optimistic is our proven productivity process. As I mentioned -- as we mentioned on the call -- on the last call, we're encountering some commodity headwinds. Almond, chia and dairy pricing was up significantly in Q4 versus a year ago. We announced the price increase on these items. Even with the price increase, we're seeing strong consumption. The key to offsetting these cost increase was leveraging our proven productivity process for additional savings. F '13 productivity savings were $25 million, up 12% versus year ago. We expect to continue to realize significant productivity savings from initiatives, such as the internal production of Earth's Best pouches at our West Chester facility that you've heard us talk about; increased throughput at Terra, Personal Care and MaraNatha factories and distribution network optimization. And we're implementing a new set of productivity initiatives, including our new, more efficient Sensible Portions plan to deliver savings to help us offset F '14 cost increases. The final reason for our optimism is our recent acquisitions of Ella's Kitchen and BluePrint. The acquisition of Ella's Kitchen, combined with our successful Earth's Best brand, has enabled us to establish a global infant, toddler and kids division. Growth opportunities are numerous. Our strength has enabled Ella's Kitchen to broaden its footprint in the U.S. market with a major expansion to be announced in the coming months. We're well underway leveraging our productivity process, and we have identified cost reduction across the supply chain. There's a full innovation pipeline with 40 new product launches across Ella's Kitchen and Earth's Best by the end of this calendar year. Stay tuned for more exciting news to come from this division. As mentioned on the last call, BluePrint -- at BluePrint, we continue to expand distribution focused on product innovation and continue to drive productivity savings. As a matter fact, in Q4 we picked up 3 additional regions at Whole Foods, which takes us national. So to close, Q4 was a strong quarter for Hain Celestial U.S., highlighted by 17.6% top line growth, strong AOC consumption growth, including a 24% 2-year comp increase and a 14.4% operating income growth. And we're optimistic about our go-forward prospects given our strong consumption trends, new product pipeline, growing distribution base, proven productivity process and the recent BluePrint and Ella's Kitchen acquisitions. With that, I'd like to turn it over to Rob Burnett.
Rob Burnett: Thanks, Jim. Good afternoon, everyone. Here in the U.K., we saw sales increased 113% in the quarter to $121 million, and operating income increased from $1.3 million last year to $11.2 million this year. Our operating income margin was 9.3% in the quarter, compared to just to 2.3% last year. For the full year, sales more than doubled from $192 million to over $420 million, and operating income increased from $9.7 million last year to just over $31 million this year. And our margins for the year improved from 5% to 7.4%. As Irwin mentioned earlier, we saw significant brand strength in the quarter, and we were also supported by strong private label gains. As a reminder, 51% of all food sales in the U.K. are made through the private label channel. And our private label prepared fruit, soup and chilled desserts all grew in the quarter at high double-digit rate. As we anticipated, private label meat-free and private label frozen desserts were down significantly as we continue to rationalize unprofitable lines, which we outlined on our Q2 earnings call. Now to give you an update on some key projects in the U.K., we launched the first phase of our private label chilled desserts business at the end of May with 8 products, and we expect the roll out to continue well into the spring of 2014. The coffee shop drinks trial we discussed last quarter was extended to over 60 stores recently, and we also added several new fruit products to this trial. We completed Phase 2 of the 3-stage transfer of production of Cully & Sully products from Ireland to our facility in Grimsby, England. In Hartley's, one of our key grocery brands, launched one fruit portion products to ASDA during the fourth quarter. This is a very important launch for us and marks a series of healthier NPD and innovation that we will bring to market in the coming months. All 4 leading grocery retailers in the U.K. have agreed to list this new one fruit portion product by October this year. And in fact, all our Hartley's ranges of jams and jellies have been refreshed and the brand designs updated, and this will enter into the market over the next few weeks and months. Retailer response from this activity has been very positive, and incremental distribution points were won for the autumn range changeovers to come. We've just launched Sun-Pat's first ever chocolate nut butter line, and that will be quickly followed up by new no added sugar variety, a new premium recipes featuring cashew. As with Hartley's, we've refreshed the Sun-Pat brand design and again, response to our new nut butter strategy has been very positive. Sainsbury's and ASDA have both added new lines and extended space in the store for this autumn. We also are successful in the quarter in retaining our existing jam business in Sainsbury's during a tender, but we extended our reach in this key customer to win all the jams with this customer. New business won includes reduced sugar, organic and premium tier products. This incremental business should be worth approximately $3 million annually and deliveries will likely start in the second quarter of this fiscal. So in summary, the U.K. ended fiscal year 2013 in an improved position, reflecting the positive efforts of our integration and restructuring, which we discussed and updated you on throughout the fiscal year. We now have strong momentum leading into fiscal year 2014 to help us achieve accelerated sales and profitable growth long term. And just to give you a taste of what's coming up, the relaunch and the healthier extensions of our key brands Hartley's and Sun-Pat, as well as the addition of new own label contracts and the test launch of several Hain Celestial U.S. brands will be coming from our grocery business this fall. We have -- as Irwin earlier mentioned, we have reinvigorated our New Covent Garden Soup brand with an exciting new range addition and packaging innovation. And very importantly, we have regained our lost listing in Tesco from October this year and have agreed with this key customer a strong plan to grow our business. We have the rollout and extension of our new private label chilled desserts business that started in the previous quarter, and that brings us into a new dynamic category. And we're very excited about the prospect of bringing BluePrint juice technology to the U.K. Finally, Cully & Sully, our Irish soup brand, will launch its first soup into Continental Europe for the first time this fiscal year. So we have a lot to be enthusiastic about in the coming fiscal year, lots to do and lots to go for. Thank you very much. I'll turn the call over now to Ira Lamel.
Ira J. Lamel: Thank you, Rob, and good afternoon, everyone. Let me take you through the financial results for the fourth quarter and the full year. Income from continuing operations in the fourth quarter was $25.9 million compared to $35.7 million in last year's fourth quarter. We earned $0.53 per diluted share from continuing operations on a GAAP basis this year compared to $0.77 per diluted share in last year's quarter, with last year's quarter including income from the reversal of a contingent consideration liability amounting to $15.5 million or $0.33 per share. Adjusted income from continuing operations was $31.7 million this year compared to $21.6 million last year, improving by 46.5%. This year's fourth quarter adjusted earnings was $0.65 per diluted share compared to $0.47 in last year's quarter, improving by 38.3%. Our adjustments are detailed in the table with our press release. For 2 of these adjustments, I want to provide a little bit more color. First, our tax expense in the quarter benefited from certain items that we have treated as onetime, nonrecurring items. Our GAAP earnings in the quarter benefited by approximately $1.7 million, with the release of a prior-year valuation allowance on deferred tax assets in the U.K. Second, our joint venture in Hong Kong reported that they classified one of their business lines as a discontinued operation, resulting in a charge in the quarter. Our 50% participation in this joint venture has brought a $500 million charge into our GAAP P&L, and we have eliminated the impact of this charge. This joint venture business line discontinuance has also resulted in an increase to our previous quarters by $0.01 per share in the first quarter and $0.02 per share in the second quarter as we look back at those quarters and eliminated the impact of those -- of that discontinued operation. Gross profit in the fourth quarter on a GAAP basis was 26.5% of net sales this year compared to 26.6% last year. On an adjusted basis, gross profit was 27% this year compared to 26.6% last year, improving by 40 bps, mainly driven by production efficiencies, improved service levels and the elimination of low margin SKUs. The improved gross profit was achieved in the face of input cost inflation, amounting to approximately 4.4% versus the fourth quarter last year. Our SG&A, including amortization of acquired intangibles for the quarter, excluding adjustments, were 16.3% of net sales and was similar to last year's fourth quarter. We have maintained a steady rate of SG&A even with the increased dollar spending from additional acquisition-related SG&A. Operating income for the quarter was $39.7 million or 8.6% of net sales on a GAAP basis compared to $49.9 million last year or 14.2% of sales. As mentioned earlier, prior-year operating income was impacted significantly by the $15.5 million contingent consideration liability reversal in that quarter. On an adjusted basis, operating income was 10.7% of sales. That's $49.7 million this year, increasing 37.2% from $36.2 million or 10.3% of sales last year. Our effective income tax rate from continuing operations was 24.9% for the fourth quarter this year compared to 21.2% last year on a GAAP basis. Our adjusted effective income tax rate was 29% of pretax income for the fourth quarter this year compared to 31.6% last year. Although the current adjusted quarterly effective tax rate is below our annual expectations, our adjusted tax rate for the full year is 32.6%, still a bit below the 34% we had estimated. This came from greater-than-anticipated tax benefits from lower taxes in foreign jurisdictions due to the full year mix of our worldwide income. Now focusing on our full year 2013 financial results in more detail, our income from continuing operations came in at $119.8 million compared to $94.2 million in the prior full year. On a GAAP basis, we earned $2.52 per diluted share from continuing operations versus $2.05 per diluted share last year. After eliminating the impact of adjustments detailed in our press release tables, adjusted income from continuing operations was $120.2 million compared to $86.2 million, improving by 39.5%. And adjusted earnings was $2.53 per diluted share compared to $1.88 per share last year, improving by 34.6%. Net sales reached the full year record of $1.735 billion, an increase of 25.9% compared to last year's $1.378 billion. Foreign currency reduced net sales in the full year by $5 million. Gross profit was 27.4% on a GAAP basis compared to 27.8% in the last fiscal year. This expected decline in gross profit as a percent of sales was offset by the favorable -- expected favorable trend in our SG&A rate to 16.5% from 17.2% in the prior year. These movements were anticipated to occur as the result of our October 2011 acquisition of Daniels in the U.K. with its fresh business. Operating income for the full fiscal year amounted to $174.3 million on a GAAP basis compared to $151.5 million last year. On an adjusted basis, operating income was $195.3 million this year compared to $144.9 million last year, improving by 74 basis points to 11.3% this year. For the full year, depreciation and amortization was $36.7 million as compared to $30.5 million in the prior year. Stock compensation was $13 million for the full year compared to $8.3 million last year. Our balance sheet continues to be strong. Our working capital is $301 million with a current ratio of 2.1 at June 30. Stockholder's equity was $1.2 billion. Debt, as a percentage of equity was 55.4%, and debt-to-total capitalization is 35.7%. Total debt at the end of the quarter was $665.9 million. During the fourth quarter, we drew $61 million under our credit facility for the acquisition of Ella's Kitchen, and have already repaid $27.8 million through the end of the fiscal year. For the full fiscal year, we drew down $351 million for acquisitions and have repaid $87.6 million through June 30. For the trailing 12 months through June 30, operating free cash flow was $48.1 million this year versus $101.5 million last year, with the reduction principally the result of the major capital projects during the 12-month period that we've discussed on all of our previous calls, spending $52 million more on CapEx this year over last year. Cash conversion was 63 days and remained steady year-to-year. Finally, I will provide you with some guidance for fiscal year 2014. We expect net sales to come in the range of $2.025 billion to $2.050 billion. We anticipate earnings per diluted share will come in at $2.95 to $3.05. Some of the significant estimates we used in arriving at our guidance include our estimate of consolidated gross profit for the year, which we are expecting to be in the 28% to 28.2% range. SG&A as a percentage of sales is estimated to land at about 16.25% to 16.35%. We've also estimated an effective annual tax rate will approximate 33% to 33.33%. The last major assumption in our guidance is that our share count will approximate 49.5 million shares for the year. As always, our guidance does not include any results of any discontinued operations, restructurings or acquisition activity should we have any. We estimate that our earnings will continue to be stronger in the second and third quarters of our fiscal year as they have historically been. Now that I've given you the update on the financial performance, I want to acknowledge that this, my 48th earnings call, will be my last. When I accepted Irwin's proposal that I come on board as the CFO back in 2001, I told him that I expected to stay 5 or 6 years and retire when I hit 60. Now that I'm 6 years past that goal, I've been reflecting on those things that have kept me here as long as it's been. This is a very exciting company and a very exciting sector. The growth in our business has been exhilarating. My first fiscal year at Hain, we saw sales of $395 million and EPS of $0.09. So to move on from my role with the company, reporting over $1.7 billion in sales and annual earnings of $2.53 per share, thus leave me a bit envious of the future that I believe the management and employees of this company have in front of them. But looking back a bit in what has been an exciting time here, what has really kept me coming back every day for 12 years are the outstanding people I have been fortunate to work alongside of. Our team at the corporate headquarters is wonderful to work with. They are each so passionate about making this company a success. And the strength of this company runs far deeper than the corporate team I see almost every day. Hain has outstanding people at each and every location, and I have been very lucky to have met and come to know so many of them. I will certainly miss working alongside every one of them. I cannot conclude without saying a sincere thank you to Irwin. I have said many times to many people that Irwin handed me a second career when I wasn't even looking for one. So Irwin, thank you for the opportunity you provided me. And to you and all of the great people at Hain -- 12 years, I can't pronounce the word -- thank you for a wonderful 12 years as your CFO. I look forward to transitioning the role to Steve and to the next chapter. With that I'll turn it back to Irwin for some closing remarks and then -- oh, turn it over for Q&A, I'm sorry. We'll now turn it over for Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Greg Badishkanian.
Gregory R. Badishkanian - Citigroup Inc, Research Division: Just my first question is just with respect to guide increase [ph]. So could you kind of breakout maybe what your assumption is for commodities and maybe organic sales growth by the different -- by the U.K. and U.S. and any different big regions?
Ira J. Lamel: Look, Greg, we ran about 4%, 4.5% inflation in the fourth quarter. So when we looked at developing our guidance in that same rate into our commodity exposure, we certainly -- well, Steve will certainly report as we move forward every quarter what the inflation experience has been, just as I've been doing. What was the second part of what you asked when we look into inflation?
Gregory R. Badishkanian - Citigroup Inc, Research Division: Organic sales growth by major geographic region.
Irwin David Simon: So Greg, as I have said, each one, it was around high single digits. And that's organic -- that's organic growth in brands that we've owned over a year.
Gregory R. Badishkanian - Citigroup Inc, Research Division: Yes. Yes. And would you expect that in fiscal 2014? Is that kind of the...
Irwin David Simon: If you look at our budget, half our budget is organic sales growth, the other half is coming from our acquisitions that we acquired. So exactly it's high single digit, low double digit and the rest is acquisitions.
Gregory R. Badishkanian - Citigroup Inc, Research Division: Right. Great. And just another question in terms of maybe opportunity on the U.K. side in terms of margins. I think this quarter, it was around 9.3%, and in the U.S. side, it's around 15%. What's the -- is there any impediment to getting to closer to the 15% range over the next several years? And what do you think the opportunity is there for margin improvement?
Irwin David Simon: So Greg, let me take it first and I can -- also from Ira. Number one is we only integrated and we acquired the grocery business 8 months ago, so get the synergies and the savings kind of halfway through the year. We eliminated a lot of the unprofitable products. The other thing is from a margin standpoint, losing Costco with soup being in our...
Ira J. Lamel: Not Costco, Tesco.
Irwin David Simon: Tesco, soup being our Celestial Seasonings tea business with the high margins and high growth, that hurt us on the margin in the U.K. So -- and fresh, there is lower margins on fresh. Do I think we will get to the U.S. margins -- we've got some work to do. But do I think the margins will improve dramatically in the U.K.? Yes, they will.
Ira J. Lamel: Yes, just let me -- let me just amplify that a little bit. The operating margin coming in from Daniels when we bought it basically was the same as what we are here at Hain. If you remember, there was a reduction in gross margin, but also a reduction in SG&A because their SG&A basis is quite a bit lower than our consolidated rate was at the time. But looking forward, one of the things that's very important is getting the Fakenham plant completed and getting to the full run rate, getting to its stride in the dessert business that we're going to be doing for the retailer in the U.K. We don't have that yet in any measure in our quarterly results. So you will see a kind of a step increase in operating margin over time.
Operator: Your next question comes from the line of Bill Chappell.
William B. Chappell - SunTrust Robinson Humphrey, Inc., Research Division: I guess first question, just looking at the guidance and just trying to understand, when you're talking about the SG&A going from 16.4% in '13 to 16.3% in '14, I guess it looks a little conservative. I'm just trying to understand, is there anything in terms of new product launches or something else that I'm missing? Because I would think your -- it's more of the carryover of both integrating Ella's and some of the back office and other productivity or -- I know productivity is more gross margin, but other cost savings that should help improve that number.
Irwin David Simon: So there's a couple of things, Bill. I think it's going to take us time to integrate Ella's in the business, and we continue to reinvest back in the business. I mean, we're in a great category, and there's -- we feel investing in our brands, bringing more consumers over from the conventional category is the big opportunity here. And you heard what I said before, natural organic is growing 5x the size. So a big part of our SG&A number is reinvesting back in the business. The other big thing is we grow our Ella's and grow BluePrint and grow our Histon brands around the world, and we'll be investing dollars around the world to do that.
William B. Chappell - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And then switching back to that question on kind of the commodity outlook. I realize that your commodities don't move as quickly as conventional ones. But would you expect as you get to the back half of the fiscal year to see some relief? And -- or are you also kind of taking more pricing right now to offset the near-term issues?
James R. Meiers: Yes. It's Jim Meiers. So yes, in terms of the commodity outlook based on what we kind of peg the market at, we basically took pricing in that to help offset that, as well as productivity. One of the key -- as I mentioned in my delivery, there's 3 key areas that we saw the largest inflation, and that was on almonds, chia and in the dairy area. So the key is going to be the almond crop doesn't come in until the fall, and then that will determine what happens in the back half. But at this point, we have it laid out in our budget.
Irwin David Simon: And we -- Bill, we have taken a little bit of pricing, nothing substantial from the company worldwide, a little over 1%. And it takes time to get that pricing out there. It takes time to get that pricing approved, but we are taking a little bit of pricing. But one of the big things that's important that has changed tremendously at Hain and 3 weeks ago, Jim Meiers led a productivity group around the world. And today, with the Ella's team, with the Daniels team, with the team in Histon, with the team in Europe, with the team in Canada and the team in the U.S., I mean, we're one of the largest procurers of organic fruits and vegetables around the world today. And as we combine our efforts on sourcing out there -- and it's tremendous when we couldn't get Italian rice or organic rice and how someone is buying it from Pakistan or buying it from somewhere else where we can get it -- a better quality and a cheaper product, and it's amazing what we buy in ingredients. So commodities are commodities, and we can't change where they come out. But I'll tell you what, from source and supply and buying at better pricing, we now have one of the best productivity plans in place to be able to get supply and get better pricing.
Operator: Your next question comes from the line of Amit Sharma.
Amit Sharma - BMO Capital Markets U.S.: Just wanted to quickly focus on the U.S. business, Irwin. It seems like growth is accelerating in the non-measured channels. Can you talk a little bit what's going on in that channel?
Irwin David Simon: The natural organic category has been strong, driven by a lot of innovation going into the area. We're seeing a lot more distribution, and consumption is strong. There are a lot of consumers, as you saw Whole Foods announced some good, strong consumption. But you see, more and more Sprouts and Fairways and retailers like that, that are opening up more and more stores, which obviously are taking some of the consumption away from conventional stores. So it's just more and more locations, independent naturals. For the longest time, I mean, independent naturals, you saw decline and flat. Now you're seeing growth in independent naturals in good high single-digit growth.
Amit Sharma - BMO Capital Markets U.S.: And that's great. Can you just provide a little bit idea of how much of that is new stores in that channel versus consumption growth, Irwin?
Irwin David Simon: I would say maybe 70% of it is consumption, 30% -- and I don't have [indiscernible] to give it to you, but 30% is coming from new stores. And we are continuously winning more and more distribution. You heard Jim say about BluePrint. If you walk into Whole Foods today, it's our burritos that have gone in there, veggie puffs and shredded puffs, some of our Arrowhead Mills, our Earth's Best frozen meals and what you'll see happening with Ella's. So it's a lot more distribution with a lot new innovative products and a lot of our current products. Our nondairy business, we have seen some of our strongest growth that we've ever seen coming out of our Rice Dream, our Almond Dream, our Coconut Dream coming out of the natural organic industry. And that's -- and we saw a decline in that category in soy more in the conventional stores. So -- but don't forget, listen, we were up 7.7% in our last AOC, 24% stacked. And a big part of that, even added into that, were K-cups that brought some of our growth down. So there's good growth coming from mass market and supermarkets out there too, Amit.
Amit Sharma - BMO Capital Markets U.S.: No. I totally understand. And then just a question on margins. John always talk about 50 to 100 basis point of improvement. And notwithstanding what Jim talked about commodity headwinds, I mean, given all the incremental distribution for new products, given the accelerating productivity savings that you talked about, should we expect that margin improvement towards the higher end of that goal in 2014?
Irwin David Simon: Listen, we're -- Jim and Maureen will speak for John and so do I. But yes, we expect to see margin improvement, and a big part of that is productivity and efficiencies out of the business. I mean, a big thing, and we don't have it today, but between Ella's and Earth's Best, we'll be purchasing somewhere between 120 million to 150 million pouches a year and filling out pouches in baby food and what we're sourcing out there. So looking for better pricing, better efficiencies, and there will be an improvement in margins.
James R. Meiers: Amit, this is Jim again. Yes, as we've talked about in the past, I mean, the U.S., we have a well-established, well-defined productivity process. And you heard Irwin mentioned earlier about we -- and we talked -- we rolled it out a year ago and we just had our global meeting. So we have the process, we're rolling it out all over the world and there's some great opportunities that are coming up. And when you look at the acquisitions, we basically have the playbook on acquisitions in terms -- as we integrate them, where we go in terms of driving the savings. And Ella's is a great opportunity from the standpoint. It was a well-run supply chain versus some of the other businesses we acquired. So that -- this way, it provides us an opportunity to take a deep dive right away in terms of driving savings.
Operator: Your next question comes from the line of Scott Mushkin.
Scott Andrew Mushkin - Wolfe Research, LLC: The second thing, Irwin, I don't know that we've talked about, is more of a strategic question about fresh. Clearly, the U.K. business has got a lot of fresh in it. You bought BluePrint here in the U.S. Plus, we have the yogurt business. I just wanted to kind of get your thoughts, all our data shows that fresh is really a category that's growing pretty darn quickly. How do you address that category? Or do you want to address it more forcefully? How do you do it? How do you do it in a branded fashion to be true to the company? So I guess that's the first one.
Irwin David Simon: So to answer that we agree, the fresh category, if you look at Whole Foods, fresh is probably 60-plus percent. If you look at a lot of other retailers out there, the exact same thing. And if you look today at our fresh business, whether it's our meat-free business, whether it's our yogurt business, whether it's our BluePrint business, it's a good-sized business and growing nicely. We have a good-sized fresh soup business in the U.K. We've tested some things. We're going to continuously look at that category. We have a fresh fruit business in the U.K. We have a fresh meals business in the U.K. And there's a lot we're going to look at, Scott, in regards to the whole fresh category with Earth's Best and fresh meals for kids. The other thing is we own 49% of a protein business today that has fresh deli, organic and antibiotic-free fresh further process, which is a big category in antibiotic-free. So it's a big category, and there's tremendous growth. If you look at fresh market, you look at Fairway, you look at Sprouts, I mean, it's got some of the biggest areas in the store and one of the fastest-growing. And if you look today, nobody has really done a lot in the whole fresh category on the organic antibiotic-free side. So it's not -- we're not going to go into fruits and vegetables and commodity-type. It's got to be value-added products, and it's got to be organic or antibiotic-free and it's something that's high in our list of either acquisitions or innovations. And look, we've created, in Greek Gods Yogurt, we bought it 3 years ago around this time and it's approaching $100 million worldwide. We expect similar things coming from BluePrint. So that's 2 fresh categories. We think big opportunities in the whole meat-free seton [ph] area. So fresh, if we want to grow and acquire and look where there's going to be $100 million categories, fresh is where you're going to get scale in the store.
Scott Andrew Mushkin - Wolfe Research, LLC: So if I could follow up on the subject just for a second, I know you guys tested, I think, the New Covent brand in the Midwest last year. Any thoughts about maybe testing it in a different area, maybe New England, maybe with the Imagine brand? And I guess, what did you learn from that test, and what did you like, what didn't you like?
Irwin David Simon: Well, what we learned here and what I continuously, consumers don't want to buy soup in cans today, okay. So that's number one what I hear. And that category continues to decline, canned soup, and we see our tetra recart and aseptic soup category growing tremendously. If you look in stores today and look at soup at retailers, which is prepared within store and they got 3- to 4-day shelf life and it's poured in plastic that is hot, it's not some of the safest and best tasting soup out there, which is made at store. So we think from a quality, from a taste, New Covent Garden soups will do tremendous. It's just introducing the carton to the U.S. consumer, and that was our biggest challenge is investing the multiple dollars against it to educate the consumer of what it is, that it's not a juice or it's not some type of sauce. And that's part of our marketing plan for this year. The other thing was what we were up against in New Covent Garden when we introduced it here, nobody knew what New Covent Garden was unless you're an Englishman living in New York, okay. And under Imagine or Health Valley, because we have an existing soup business, that's where we'd look to do it. And the technology that we got here in the U.S., it's investing in a plant or flying it back. So it's high on our list, and there's a bunch of things we're looking at it, from soups to gravies, to sauces, to mixes, to refrigerated beans and things like that.
Scott Andrew Mushkin - Wolfe Research, LLC: That's perfect, Irwin. Is Steve there, by the way? I wasn't sure, I'm sorry. I'm in the airport, so I wasn't sure if he was actually joining the call or not, the new CFO.
Irwin David Simon: No. He's not an employee yet, so Denise will not allow him.
Operator: Your next question comes from the line of Thilo Wrede.
Thilo Wrede - Jefferies LLC, Research Division: Some of your mainstream competitors over the last few weeks, while they reported earnings, they've all pointed out the weak consumers. Smucker's this morning talked about still the trifurcated consumer. How much of the consumer weakness are you seeing in your business? Or maybe asked differently, how much is the kind of the lowest 1/3 of the consumer income spectrum, how much is that part of your business right now, and how can you grow that?
Irwin David Simon: I didn't -- Thilo, I didn't hear your last part of the question. You broke up there.
Thilo Wrede - Jefferies LLC, Research Division: I'm sorry. The last part of the question was, the lowest 1/3 of the income spectrum across the U.S. consumer, how much is that part of your business already? How much is that part of your consumer base? And how can you grow that going forward given this ongoing consumer weakness?
Irwin David Simon: Right. So number one, I think there's consumer weakness out there. I mean, it's interesting when we say consumer weakness. You hear back-to-school is not going to be as strong. So are they buying new backpacks, not buying new clothes. I mean, no one's not going back to school and not eating, okay. And we've not gone on one big fast and decided we're not -- we're going to skip a meal a day and that's how we're going to save money. In most recent results that came out from the CDC is obesity is starting to decline in this country, which shows you more and more consumers are buying healthier products. And you heard what I said before in regards to consumption, unconventional. It's up 5x. So I think number one, the reason you're seeing a lot of conventional food companies sales where they are, a lot more consumers are moving over to more and more natural foods, and whether there are more Whole Foods, whether there are more Sprouts, Fairways, Wegmans and that open up, you should see more and more of the sections that are bringing in natural foods and it's got to be coming from conventional foods. With that, our -- some of our biggest growth is coming from the mass markets. And if you come back and look at the lower percent, they are shopping in the mass market. So natural organic food is not only for the 1% out there.
Thilo Wrede - Jefferies LLC, Research Division: So it already is for the 100% already?
Irwin David Simon: What's that?
Thilo Wrede - Jefferies LLC, Research Division: Sorry, no. I'll move on. And Ira, I just want to take the last opportunity to ask you a question. I saw accounts payable doubled year-over-year. Is that something that can come down again over time? What's behind that increase?
Ira J. Lamel: Well, I think it's gone up because we did 3 acquisitions during the year. So of course, we have higher payables. I think the key is that our cash conversion has stayed flat year-over-year. So we've managed the cash conversion in the face of these higher dollar investments in inventory and receivables supporting growth and so on and of course, with these acquisitions. So to me key it's cash conversion.
Irwin David Simon: And $400 million more of sales year-over-year.
Thilo Wrede - Jefferies LLC, Research Division: Right. But accounts payable went up a lot more on a percentage basis than sales went up, right?
Irwin David Simon: No.
Operator: Your next question comes from the line of Andrew Wolf.
Andrew P. Wolf - BB&T Capital Markets, Research Division: I wanted to ask Jim, on the productivity, you got a big budget next year, a lot of next year's how the stock's going to do depends upon how you perform, I think. And you sound pretty confident, which is good, and you gave us an update on some of the things you're doing globally. How much of that, when we just look at the $30 million or $25 million you printed this year and the $40 million to $50 million budget you got set out for next year, how much of that is sort of scale based and just sort of -- as the company gets bigger and sort of incorporates Ella's and also just has more productivity as utilization rates increase across the supply chain, how much of it comes from that versus how much of it comes from sort of one-off special projects? And I'm trying to get -- at some point in time, you would think these special projects sort of it's not an infinite opportunity set. I'm just trying to get a feel for that.
James R. Meiers: Right. Okay. Yes, Andy. So I guess the thing is when you look at '13 and you look back, '13 we had a couple of big projects, right. You heard us talk on the last couple of calls about internalizing or self manufacturing the pouches. So we had an existing facility that we leveraged -- it's our West Chester facility where we installed a pouch line. And what we're able to do is we're able to balance off the co-packing versus what we do internally, and that drove quite a bit of savings. Given the expansion or the growth on our pouches and then with the acquisition of Ella's, you think about purees, and it's about leveraging the volume to basically get better quality, get better pricing. And then in Lancaster, in Lancaster we basically -- we've relocated that facility in -- basically built a new facility. That's drove savings in Q4, and it's a big opportunity for us as we look at '14. So Andy, I think each year, it kind of shifts a little bit, right, because as we make acquisitions, we leverage the spend side of it. And then -- and I -- Andy, I think you heard me talk about this before. Basically what we do is when we acquire a company and there's an asset involved, we have a model that we go through, and we basically optimize what we have and then we look to invest capital to drive more savings. So I don't have an exact split for you, but it's a combination and it varies year-to-year.
Irwin David Simon: But Andy, acquisitions and scale and size create a lot of the productivity. But last year, the U.S. group didn't do an acquisition. We did sense -- we did BluePrint and Ella's, which was done in May and still had $30 million of productivity. So not a lot of this productivity last year came through acquisitions. BluePrint was a small acquisition, and Ella's was done in the last 2 months of the year. So it shows you where most of this productivity came from, from the current business.
James R. Meiers: Well, and also, as our volume is growing in our facility, that drives efficiency and lowers your overall cost. So...
Andrew P. Wolf - BB&T Capital Markets, Research Division: I appreciate that color and flavor. As we look to -- as you look at this year, or as I'm thinking about it, it sounds like you're going to get some of these outsized gains in the current year from Fakenham and as it ramps up, and I guess Ella's. And are there other things in '14 that sort of standout?
Irwin David Simon: Well, there's-- in '14, the U.K., we're going to have a full year of having our Histon, getting productivity, getting rid of unprofitable SKUs, getting our soup back into Tesco. We had a crappy soup season in the U.K. last year and that hurt us. Having a much better soup season, we'll change a lot of the dynamics in the U.K., integrating the businesses, which Rob is doing and getting a lot of synergies. The same in Europe. We now have opened our new nondairy facility, which where we're producing and packing our nondairy products where before, we were producing, shipping it to another location to pack and looking for a lot of efficiencies to come out of our nondairy facility and looking for a lot of sales gain there. So there's a lot in place in Europe. There's a lot in place in U.K. In Canada, we just are in the midst of eliminating a bunch of Europe's Best business that was not profitable. It was more profitable for us to eliminate sales because we were selling stuff at just a cost. So we've gone through where we're going to eliminate products that don't contribute, SKUs that were not selling and a lot of efficiencies in the business, Andy, that will drive margins and growth.
Andrew P. Wolf - BB&T Capital Markets, Research Division: And a quick follow-up and switching to CapEx, the CapEx jumped a lot. And some of it was projects related to these -- getting these productivity gains. And it sounds like the return on capital, the return on investment was quite high. But do you have a preliminary CapEx budget for this year that you can share with us? I didn't see it in the guidance. Yes, I mean, should we just, as we model out the company, I'm sorry, should we just look for higher CapEx given the kind of returns you're seeing when you do some of these CapEx projects?
Irwin David Simon: Well, Andy, first of all, as we've said, I mean, our CapEx last year was between $55 million and $60 million. And with that -- actually, I'm being corrected, I'm told it is $70 million. But with that, as Jim talked about this new snack plant in Lancaster with Sensible Portions and the efficiencies we're getting out of there, with the Fakenham facility, with our nondairy facility in Germany, I mean, the efficiencies we're going to get out of there. So it's getting close to a $2 billion company, and 60% of our business today is now manufactured in-house. We're going to have to invest in CapEx to support our growth, and that's the big thing out there is to support our growth. And we're looking at certain plants in the U.S. today in regards to MaraNatha and nut butters, and our Arrowhead Mills and our DeBoles pasta, we can't keep up with demand and has suffered huge out-of-stocks this year because of it. And we're going to have to invest more capital to support the growth. In fiscal '14, Andy, right now our budget is about $35 million.
Andrew P. Wolf - BB&T Capital Markets, Research Division: And just one last question, on inflation, cost inflation. I think the numbers, Ira, you gave, it sounds like it accelerated this quarter from last quarter. Is that mainly because dairy prices jumps while almond and chia stayed high? Or is there something else going on?
Ira J. Lamel: Well, almonds, which is the largest input ingredient that we have, has really skyrocketed in cost. I know Jim can speak specifically.
James R. Meiers: [indiscernible] There's 3 key areas, Andy. It was almonds, that's the largest spend, and that was a pretty significant increase; chia and then also dairy. All 3 of those, the range year-over-year was 25% to 35% increase year-over-year.
Irwin David Simon: And Andy, between our nut butters, our nondairy milk, chia, we're probably one of the largest buyers of chia seed in the U.S. today, if not the world. And dairy, with our Greek Gods yogurt, dairy prices went up dramatically. So...
Andrew P. Wolf - BB&T Capital Markets, Research Division: Are you seeing anything in the area of organic grains? Because there's been some press about shortages there. Don't -- you didn't call that out, either in the feed side of your business or in the production side.
Irwin David Simon: Not right now, Andy.
Operator: At this time, we have time for one to 2 more questions. Your next question comes from the line of Mitch Pinheiro.
Mitchell B. Pinheiro - Imperial Capital, LLC, Research Division: So you talk -- there's a lot of good things. I was just curious what brands or product lines in the quarter were below average? And if you can provide some color on those, particularly in the U.S.?
Irwin David Simon: In the quarter, Terra didn't grow as quick as we wanted. It was in much lower single digit to flat. Arrowhead Mills, and that is just quantities we couldn't produce enough, and we were -- that was a production issue. Our nondairy business, it's coming back. It's come back strong in natural. It hasn't come back as strong in mass market. But we've introduced most of our new products so far in our natural food stores. Our Ethnic Gourmet and Rosetto, I mean, that -- and I didn't really talk about that x that, that still is performing way below, and we're continually looking, and we talked about where we are going to divest that. So that was the big ones. Our Personal Care business was up nicely. It's come back nicely. But that really is the categories that didn't perform for us in this period. And some of it is just, Mitch, timing on promotions versus last year. And with Arrowhead Mills, I mean, the brand was up for the year, extremely strong. But it's just keeping up with some of the capacity and couldn't get ingredients to make product. That's hurt us. We, in this year, past quarter, and Jim and the team worked hard, but we had a much higher out of stock rate than we ever had because we just couldn't get supply of some of the ingredients that we've talked about and couldn't keep up with demand and capacity.
Mitchell B. Pinheiro - Imperial Capital, LLC, Research Division: That's very helpful. Just last thing is if you could just -- how about in the U.S. sales or performance by channel, like what are your fastest-growing mainstream grocery, mass, natural? Could you rank those?
Irwin David Simon: Well, right now -- and it's amazing how it shifts sometime. But right now, the natural category is actually growing faster.
Maureen M. Putman: It's actually all pretty even.
Irwin David Simon: Growing faster, but the mass and the grocery are up there also. So we're -- we've got a lot more products in the natural category, but there's a lot more stores in the mass and the grocery.
Operator: And your last question is a follow-up from Amit Sharma.
Amit Sharma - BMO Capital Markets U.S.: Just a quick one. Ira, did I hear you right that you said share count for next year is 49.5 million?
Ira J. Lamel: Yes, that's what we're modeling, Amit.
Irwin David Simon: Thank you, Amit. And since that's the last question, thank you, everybody, for listening to our call. It's always hard to do your earnings call the last 2 weeks of August, and who's on the beach and who's listening to you. But hopefully, they're eating our products. Fiscal year 2014 marks the 20th anniversary of Hain, and it's truly amazing to think how far we've come and grown this company. And what Ira said when he got here in 2001 is true, where we are and where we are -- where we were then and where we are today. When I started this company 20 years ago, people thought I was crazy, and I'm sure people still today think I'm crazy. But boy, how things have changed. On a global basis, people are increasingly aware of what they consume with a focus on health and wellness. Our organic and natural products are now available to more consumers with our diversified brand portfolio at 60% U.S. and 40% internationally. The objective is to get to 50/50 between Canada, Asia, the U.K. and the rest of Europe and South America, when we can get there. Awareness continues to grow and move mainstream with more and more consumers, educated about what they eat and what they put on their body or what they clean themselves with. As I've said before, in the U.S., the CDC recently showed some stabilization obesity -- in obesity rate in adults, the first time in a long time, and even a decline in obesity rate in children across several states, which is music to my ears. So we believe healthy eating is here to stay with a broader consumer focus on products that are organic, natural, gluten-free, non-GMO and BPA-free, just to name a few. Hain is a leader in providing transparency to the consumer, with over 330 products already verified in the non-GMO verified project. Our recent strong brand portfolio, including the 3 recent acquisitions of the U.K. ambient grocery brand BluePrint, Ella's Kitchen, along with the global infrastructure that we have in place today, will better position Hain than ever before to capitalize on a tremendous growth with opportunities in front of us. In summary, we are very pleased with our ability to end the year in a strong financial note. It is an exciting time for Hain. It is an exciting time for the organic, natural category. It is an exciting time for our brands, our people and the opportunity to sell healthier food and personal care products around the world. Our people at Hain play the most important role in our success. I am surrounded with a strong group of working people -- a strong group of people working on an exciting strategy, and I want to thank over 4,000 people at Hain that make it happen. We look forward to the next 20 years of Hain, and we appreciate the hard work, dedication of our employees and the support of our vendors, trade partners, shareholders. And without you, we would not enjoy the success that we're enjoying. Once again, I want to thank Ira and it will be a different call not having him on there and correcting me along the way. We wish all of you a very healthy and happy end of summer and safe one, and make sure when you go to your local supermarket, you buy one of our brands out there. And I promise you, when you walk into a store, you will find multiple Hain products, and if you don't, please let me know because our sales people will be out there trying to sell it to them. Thank you very much for your interest and participation today, and have a good rest of summer. Thank you.
Operator: Thank you. This concludes today's conference. You may now disconnect.